Operator:
Bill Robertson: Good morning. I'm Bill Robertson, Vice President of Finance for Visteon. Welcome to our Earnings Call for the First Quarter of 2017. Please note this call is being recorded and all lines have been placed on listen-only mode to prevent background noise. Before we begin this morning's call, I would like to remind you this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future results and conditions or rather are subject to various factors, risks, and uncertainties that could cause our actual results to differ materially from those expressed in these statements. Please refer to the Slide entitled forward-looking information for further details. Presentation materials for today's call were posted on the Investors Section of Visteon's website this morning. Please visit www.visteon.com/earnings to download the material if you've not already done so. Our Form 10-K was filed earlier this morning with the news release. Joining us today are Sachin Lawande, President and Chief Executive Officer; and Christian Garcia, Executive Vice President and Chief Financial Officer. We have scheduled the call for one hour and will open the lines for your questions after Sachin and Christian's remarks. Please limit your questions to one question and one follow-up. Thank you for joining us on our call today. Now I'll turn it over to Sachin.
Sachin Lawande: Thanks, Bill, and, hello everyone. We are very pleased to report that Visteon had a solid first quarter with significant improvements across all areas of our business that resulted in record levels of sales and profitability for the quarter. On Page 2, let me briefly summarize our first quarter 2017 results for Electronics. In the first quarter, Visteon reported record sales, adjusted EBITDA and adjusted EBITDA as a percent of sales. Sales were $810 million, $17 million higher than in Q1, 2016. Adjusted EBITDA was $101 million, $7 million higher than prior year. And adjusted EBITDA margin was at 12.5%, an increase of 60 basis points compared with the same quarter a year ago. We won $1.5 billion in new business in the first quarter, a 25% increase over new business won in Q1, 2016. Visteon executed very well in all areas in the first quarter. I'll provide more details on our operations in the next few pages before handing it over to Christian to discuss the financials. Moving to Page 3, on page 3 we highlight key accomplishments for the first quarter. As we did at year end, we are highlighting our progress in three key areas. Sales, profitability and returns and other key operational areas of the business. As noted on the previous page, we delivered $810 million in Electronic sales in the quarter. All regions showed positive growth. The domestic sales in China were the main driver outpacing market growth and increasing 17% year-over-year excluding the effects of currency. We had another strong quarter of new business wins securing $1.5 billion in new business. Business awards are inherently lumpy and we are pleased to start the year with the strong performance in the first quarter. This increased are order backlog to a record $16.7 billion at quarter end which I'll discuss in more detail shortly. With respect to profitability, as mentioned we achieved record quarterly adjusted EBITDA for Electronics of $101 million. Our adjusted earnings per share were $1.73. Also during the quarter, we entered into an Accelerated Stock Repurchase with the third party to purchase shares of our common stock for $125 million and we received 80% of the expected shares. This ASR is expected to complete in May 2017. In terms of operational accomplishments, we are pleased to have secured our third customer win and our first in China for our industry leading SmartCore domain controller technology. We also made progress on our approach to autonomous driving technology and are on track to launch the new platform early next year. We've had positive early engagements with customers on our approach for autonomous driving. And we commenced development of our second generation SmartCore solution which offers higher levels of virtualization and feature integration and is expected to be largely ready by the end of this year. I'll provide more details on SmartCore later in this presentation. In summary, a solid first quarter performance sets the strong foundation of the remainder of 2017. Moving to Page 4, on this page we compare key financial metrics for the first quarter over the past two years. The company has made significant progress over the past two years in executing the strategy that we have shared with you previously. Our focus on operational performance has resulted in significant improvements in profitability over this period. Sales of $810 million in the first quarter benefited from key product launches at the end of 2016 and in early 2017 are the highest quarterly sales for Electronics on record for Visteon. Adjusted EBITDA was $101 million, up $7 million from Q1, 2016 and this is also the highest adjusted EBITDA on record. Our continued focus on operational improvements helped drive adjusted EBITDA as a percent of sales to 12.5%. Engineering cost as a percent of sales were 8.8%, down from each of the past two years. Adjusted SG&A which had been well over 6% in 2015 and 2016 was reduced to 5.8% of sales in the first quarter. This is especially remarkable as we have won more new business than ever before while also investing in new technology development in the areas of infotainment, domain controller and autonomous driving. Although we've made significant progress over the past two years, we believe there is still more opportunity to improve operational efficiency. We will continue to focus on reducing fixed and operational cost in the business to improve profitability. Moving to Page 5, in addition to driving profitability through reduction of fixed cost, a key part of our strategy is to accelerate new business wins in the near term which will drive revenue growth in future quarters. During the first quarter, we continue to build on the strong momentum created last year and won new business with expected lifetime revenue of approximately $1.5 billion. This is $300 million more than first quarter last year and frankly exceeded our expectations as we were able to accelerate certain awards slated for the second and third quarters. As a result of this outstanding achievement, our total order backlog now stands at a record $16.7 billion. We are doing particularly well in the instrument cluster, display, head-up display and infotainment product segments. I am pleased to report that infotainment made up the largest portion of the new business in the first quarter accounting for 44% of the total. As I've mentioned before, Visteon has a competitive entry infotainment offering which has been further strengthened by our acquisition of AllGo year. We were pleased to win an extension of existing global business with new market driven features and second new customer win that started for China market with both leveraging AllGo technology. We also had several customer engagements in the quarter for our new Phoenix Infotainment solution. As we've discussed previously, Phoenix addresses mid to high infotainment market with industry leading feature for connected app development. Infotainment business like SmartCore is a long lead time sale cycle and we are pleased with the level of interest from our key customers. And as you can see from the charts in the middle of the slide, Asia accounted for 78% of our new business wins in the quarter with customers in China representing 40%. The highlight of our first quarter business win was a first SmartCore award in China with Dongfeng Motor Co Ltd, the second largest vehicle manufacturer in China. I'll provide more detail on this important win later in the presentation. We also had a very active quarter in terms of customer engagements on the heels of an extremely successful CAS in January. Across the world, we held 32 separate tech shows either at customer locations or Visteon venues to have a deeper dialogue on our new technology solutions such as SmartCore, Phoenix Infotainment and autonomous driving technologies. We are very pleased with the level of interest at customers for the solutions especially for SmartCore which is starting to pickup as one of the most interesting trends in cockpit electronics. We are on track to deliver our full year target for new business wins and plan to continue the momentum in the coming quarters. Now moving to Page 6, here we highlight the continued growth in our new business backlog which reinforces our competitive strength in cockpit electronics. As shown on the bar charts at the left, we've seen an increase in our order backlog for each of the past seven quarters and our backlog has grown 14% since the third quarter of 2015 when we started to track and report the backlog in this manner. For the first time Asia now represents the largest portion of our backlog at 39% with Europe being the second largest at 35%. It's important to note that three fourths of our backlog is in the faster growing automotive regions of the world. From a product standpoint, instrument clusters still represent the majority of our backlog, but it is worth noting that infotainment has risen to 12% of the backlog which is two points higher than at the end of 2016. We are also seeing growth in head-up displays, the fast growing product segment. In summary, we are pleased that our business is accelerating in both the faster growing geographies as well as product segments. Moving to Page 7, the highlight of our first quarter results was our exceptional performance in China, the world's largest automotive market. Our sales and new business wins in China continue to expand at a rate exceeding vehicle production growth in the country. The first quarter Visteon sales in China were up 17% year-over-year excluding the effects of currency. While vehicle production grew at a rate of 7% as per IHS. Sales to joint venture and international automakers represented 76% of our first quarter sales with the remainder to domestic Chinese OEMs. That said, we continue to make strong inroads in sales to domestic Chinese automakers that make up approximately 45% of the market and where we are clearly underrepresented today. As you can see on the right of this page of our first quarter new business wins in China 41% came from domestic Chinese OEMs. In fact, our sales to domestic Chinese automakers were up 137% in the first quarter compared with the same quarter a year ago. This new business is coming from all of our core product lines with instrument clusters, infotainment and displays leading the way. As noted earlier, one of the product areas where we've achieved the breakthrough in China is in our SmartCore domain controller technology which I'll now cover in more detail on page 8. I've mentioned on previous calls that the trend towards use of integrated cockpit domain controllers is starting to take-off in the industry. Visteon also has a strong position in China which is not only the largest and fastest growing market in the world but also one that's quick to adopt new technology. At the Shanghai auto show last week, we were very pleased to announce the first SmartCore win in China and our third overall. This win is with Dongfeng Motors, the second largest car manufacturer in China and is for a new Dongfeng SUV for the China market. This is the first ever cockpit domain controller award in China. And we are pleased to repeat our track record of the being first to win customer business in China in this very important and emerging segment of cockpit electronics. We are also pleased that Dongfeng has allowed us to talk about this award of course without providing too many details about their upcoming vehicle. This award is for the top trim level for new high volume SUV which will contain an all digital cluster and infotainment features including embedded navigation and smartphone integration. Visteon will also supply standalone infotainment and hybrid instrument cluster solution or other trim levels in this vehicle line up. The start of production in 2018, the system will be the first digital cockpit controller to be launched in the China market. This win also gives us the opportunity to expand into other Dongfeng vehicles with minor adaptation and build a long-term relationship with this very important customer. I should also mention that we have ongoing discussions with other OEMs in China including SAIC, Great Wall, Gili, [Wong Chie] automotive and other OEMs regarding SmartCore for their future cockpit electronic solutions. I am optimistic that we'll see more success in the near future in China for this technology as with other products and technologies from Visteon. Nonetheless, it is critically important to gain the first foothold in a new market with a new technology and this win with Dongfeng represents a significant milestone for Visteon. Moving to Page 9, Visteon is the industry leader in cockpit domain controller technology with a SmartCore solution and with three wins is way ahead of the competition. However, we are not standing still with this technology and are leveraging our experience and knowledge of this space to drive the technology further. This page shows the technology roadmap of our SmartCore platform. SmartCore uses advanced virtualization technology to enable integration of different cockpit products into one Electronic Control Unit or ECU. As digital displays and ADS functions proliferate in the cockpit. This approach offers the possibility to drive all of the displays using one powerful System on Chip or SoC. This is a revolutionary step for the automotive industry which has historically used independent ECUs to implement each of these different products. Visteon is unique in the industry in that we have developed our own cockpit computer virtualization technology that compliments our instrument cluster, infotainment and head-up displays office tags. We are the only tier-1 supplier in the industry to offer a complete digital cockpit computer solution including the virtualization technology and all applications. Using virtualization, the Visteon SmartCore solution enables the sharing of hardware resources such as CPU, memory and other system components in a typical system on a chip across the different operating systems that are required to implement cockpit electronics products such instrument cluster and infotainment. The first generation of SmartCore which was introduced in 2014 enable sharing of CPU and memory resources and was really targeted at integrating two products instrument cluster and infotainment. This version of technology is the basis of the of the industry first cockpit domain controller that would be launched early next year. With the valuable experience gained through the deployment of the first generation solution and leveraging the new system on chip solutions from the silicon suppliers, we are now developing second generation of SmartCore technology that would be introduced later this year. This version improves the virtualization of graphics processing unit or GPU making it possible for all domains to drive high definition displays more effectively than before. Gen 2 virtualization technology will also enable dynamic sharing of system resources which means we can add more domains than just instrument cluster and infotainment. This will enable us to integrate another display oriented product such as head-up display and also integrate ADAS technologies such as V2X, drive monitoring and surround view. We will all support our new infotainment solution Phoenix to our SmartCore platform to offer a mid to high infotainment capability in addition to entry infotainment features from the first generation solution. Visteon was the first in the industry to offer a production ready cockpit domain controller solution and with this technology lead with Gen 2, we are confident that we will be able to maintain our leadership position in the industry. Moving to the next page, on Page 10, I'd like to provide our outlook on the market and to share with you how we are thinking about the rest of 2017. In the first quarter, we saw strong vehicle production volume growth across all regions as shown on the left of the page. The main drivers of the strong performance were the higher than expected growth in vehicle production in China and Europe and North America was also reasonably strong at 3% year-over-year. In its recent forecast, IHS continues to show a low single digit global growth for the full year which is shown on the right. We expect China to continue to perform well and our current projections anticipate production volume growth in the mid single digits which is more optimistic than the IHS forecast. Overall, for the full year IHS' current forecast for global growth remains in line with their prior estimates and for the most part in line with our own expectations. Given this forecast, and on the strength of our performance in the first quarter, we are reaffirming our financial guidance for 2017. We'll continue to monitor the market and stay focused and disciplined in our execution with the goal of delivering on our financial commitments. Moving to Page 11, on this page we recap the strategic priorities for Visteon for 2017 that will set the stage for our longer term plans and report on the progress. These priorities include strengthening our core business, accelerating our business in China and developing an autonomous driving platform for level 3 and above applications. As I have outlined during today's call with one quarter under our belt, we are tracking very well in our performance against these priorities. In terms of strengthening our core business, we are well on our way to achieving the metrics we've set by achieving record sales and delivering the margin of 12.5% in the first quarter. We are also on pace to achieve a combined $12 billion new business win target for 2017 and 2018. And we'll continue to focus on operational excellence across our business. We are accelerating growth in China, exceeding market growth in that country by achieving double digit sales growth as well as new business wins. We demonstrated success towards this objective in the first quarter by winning new SmartCore business with Dongfeng and we've seen positive initial response in China to our new Phoenix Infotainment platform. To further drive adoption of our new technology, we intent to fully leverage the excellent relationships and joint ventures we have in China. For our third priority, we've progressed well in the development of an autonomous driving platform as I mentioned earlier. Our goal remains to launch a new autonomous driving platform at CAS in 2018 targeting level 3 plus capabilities. In summary, I am pleased with our first quarter results and the progress we continue to make as the only tier 1 supplier focused exclusively on cockpit electronics. All of us at Visteon are energized with the keen interest our customers are showing in our technologies which has driven our new business backlog to record levels. We remained focused on operational excellence while simultaneously driving new technology development and look forward to being a strong contributor as the industry moves towards the era of autonomous driving. That concludes my overview comments. And now Christian will walk you through our financial results for the first quarter.
Christian Garcia: Thank you, Sachin, and good morning, everyone. On Page 13, we present our key financial results for first quarter 2017 versus the comparable period in 2016. As explained on prior calls, our financial results are impacted by a number of items that make year-over-year comparisons difficult. The adjusted financial information presented on this slide excludes these items and represents how we manage the business internally. These are non-GAAP financial measures that are reconcile to US GAAP financials in the attached appendix that starts on page 20. Also in 2016, Visteon had South America and South African operations associated with the former interiors and climate businesses. These operations were exited by the end of last year. As we've said previously, the majority of our climate and interiors businesses have been classified as discontinued operations on our financial statements. Although these businesses have all been exited, the company recorded an $8 million gain in discontinued operations in the first quarter of this year primarily related to the repurchase of the India Electronics operations related to climate transaction in 2015. Going forward, we do not expect to have any sales or adjusted EBITDA related to our other product group or discontinued operations. The financials on this slide reflect our ongoing Electronics product group and exclude discontinued and other operations. Electronic sales of $810 million in the first quarter increased by 2% compared with prior year. Adjusted EBITDA for Electronics was $101 million, representing $7 million increase over first quarter 2016. The year-over-year increase largely reflects higher volumes and strong cost performance partially offset by customer pricing. I'll provide more details on the following pages. Adjusted EPS was $1.73 for the quarter, growth of about 30% from prior year and more than doubling since Q1 of 2015. The year-over-year increase was driven by a double digit growth in net income with a roughly 15% drop in average share count. Looking ahead, we'll seek to continue to deliver value to our shareholders in a combination of higher profitability and capital returns. Adjusted free cash flow for Electronics was an outflow of $30 million in the quarter. Free cash flow is seasonal and is typically an outflow in the first quarter reflecting the timing of working capital movements. Turning to Page 14, we provide Electronics sales for first quarter 2017 versus the same period last year. Electronics sales for first quarter of 2017 were $810 million, sales increased by $17 million primarily driven by the benefit of higher production volumes and net new product launches which represented a 6% growth from prior year. Unfavorable currency and contractual pricing reductions partially offset this increase. This is a new quarterly record for the company reflecting growth across all of our regions but particularly in the China domestic market. As Sachin mentioned, we saw double digit growth in this country driven by both strong production volumes and the impact of new product new launches. We believe that the momentum that we've seen in China in the first quarter will continue for the rest of 2017. Moving on to the next page, on Page 15 we highlight Electronics adjusted EBITDA and adjusted EBITDA margins for first quarter of 2017 versus the same period last year. Electronics adjusted EBITDA was $101 million. As stated previously, this is quarterly record and evidence of our ability to extract incremental efficiencies from our operations and fixed infrastructure. This is also the first time that we had adjusted EBITDA of over $100 million which is a milestone for the company. Adjusted EBITDA increased $7 million in the first quarter versus 2016. The increase reflected the impact of new business and favorable currency. The currency impact was driven primarily by favorable movement in the Japanese yen and Mexican peso partially offset by movements in the euro and China Renminbi during the quarter. We had material, manufacturing and fixed cost savings which were offset by contractual pricing arrangements with our customers and increased warranty costs. Year-over-year the company was impacted by the non-recurrence of a $3 million warranty recovery received in the first quarter of 2016. This impact was offset by a favorable settlement of $3 million primarily related to the closure of our sales of new stocks audit in the first quarter of this year. Our margins were positively impacted by reduced engineering and SG&A cost during the quarter. Engineering declined by 4% while adjusted SG&A decreased by 8% against prior year levels. We are very pleased with this performance especially as we continue to invest in new technology and support efforts to win new business. Adjusted EBITDA margin was 12.5% in the quarter and represents an improvement of 60 basis points compared with first quarter of 2016. Since 2015, we've had consecutive year-over-year quarterly improvement on this metric. Moving to Page 16, in the quarter we executed on two capital structure actions which are outlined in page 16. First, we executed a $125 million Accelerated Stock Repurchase program as part of the $400 million buyback authorized by our Board at the beginning of the year. This ASR is to repurchase roughly 1.3 million shares. About 1 million of this was delivered in March with the rest upon completion sometime in May. The purchase price at the time of execution was approximately $94. As of April, our current diluted share count stands at around 32.3 million which is about 6% lower than our count at the end of the second quarter of 2016. After completion of this ASR, we still have $275 million remaining in our authorization which we intent to complete by March of 2018. In addition, we've completed a refinancing of our revolving credit facility and term debt to take advantage of the low interest rate environment. We extended the maturity of these facilities by three years and took the opportunity to expand our revolver capacity by $100 million. With this refinancing, we've reduced our interest cost by 50 basis points or roughly $1 million annually. Page 17 shows our cash balance and leverage position. Our cash balance is currently just under $700 million compared with about $880 million at the end of the year. As I mentioned, we executed on a $125 million ASR this quarter and also spent $59 million related to legacy and restructuring actions. A large portion of this legacy payment is the repurchase of the Electronics business in India as agreed at a time of divesture of our climate operations. The only significant legacy activity remaining is a $32 million payment related to the sale of an interiors facility which is expected to happen in the second quarter of this year. With this payment, we'll have completed all actions related to the transformation of Visteon into a pure play Electronics company. Given our current cash level, we continue to be in a net cash position, the gross debt to EBITDA at the healthy 1.1x ratio. Because of the strength of our balance sheet among other things Visteon credit rating was upgraded by Standard & Poor's in the first quarter. This credit rating upgrade together with our strong capital structure will enable us to take advantage of market opportunities going forward. Turning to Page 18, we are reaffirming our full year 2017 financial guidance for sales, adjusted EBITDA and adjusted free cash flow. For the full year, we are projecting sales of $3.1 billion to $3.2 billion. Adjusted EBITDA of $355 million to $370 million. And adjusted free cash flow of $165 million to $180 million. As I mentioned, we do not expect to have any sales or adjusted EBITDA related to our other product group or discontinued operations in 2017. Our first quarter performance gives us a strong start for the year. However, as you know, our sales and adjusted EBITDA are seasonal with the first and fourth quarters being the strongest quarters. This seasonality reflects the timing of plant shutdowns in the second and third quarter and the recognition of engineering recoveries which tend to be highest in the fourth quarter. This view is also consistent with the latest global production volume forecast from IHS which is in line with earlier estimates. Now let me turn it back to Sachin for some closing thoughts.
Sachin Lawande: Thanks Christian. Moving to Page 19, in closing, we are very pleased with Visteon's first quarter performance and with the value we delivered for our customers and shareholders. 2016 was a year in which we set the foundation for much stronger Visteon, the technology focused company poised to capitalize on emerging cockpit electronics trends. In 2017, we've gotten off to a strong start both financially and new business wins that will drive future growth .I am very proud of the work that everyone at Visteon has done to put us in the strong position. Thank you for joining us today. Now I'd like to open up the call for any questions.
Operator: [Operator Instructions] Your first question comes from the line of Tavis McCourt with Raymond James. Please go ahead.
Tavis McCourt: Hey guys. Thanks for taking my question. First one just a housekeeping item. If I think about your new business awards of $1.5 billion about $700 million above current revenue recognition but the backlog was only up $200 million. So can you kind of run me through the math there? That would be helpful and then Sachin you seemed to be a little more focused this quarter and recently on within China, the domestic OEM business. And I am wondering is there a historical context here on why Visteon was underweight the domestic OEMs and what you've done over the last year to accelerate win wins there. And then I guess finally would be on a SmartCore win. Is this the first time that the SmartCore win has included both instrument cluster and infotainment or is that something that you would expect on each SmartCore win? Thanks.
Sachin Lawande : All right. Good morning, Tavis. So let me address the first question which is with respect to the new business wins. As we have mentioned before we update our backlog every quarter for things such as currency and volume movements. In this particular case, we had one customer program that was short cycled which is largely the reason why we did not see the backlog grow to the extent that it would otherwise have. However, being the incumbent in that particular business, we are very confident of winning the successor product and the successor program from that customer. So expect that lost backlog revenue to come back here shortly. With respect to China, in the past the focus in China was largely on two product segments, instrument cluster and audio. And as you also mentioned we have been focusing on the domestic OEMs primarily because over the last couple of years, the domestic OEMs in China have done really well with respect to the fastest growing segment within the vehicle a model which is SUV segment. And so we've invested last year in building up our sales and business development capabilities in China and have also made it a priority for the company to take all of our products and technologies in addition to clusters and audio into that market. So that's one of the reasons why you see us do particularly well in that market. But I should mention though that in new business wins do tend to get lumpy. We had a fantastic year last year in Europe and the first quarter we have done very well here in China but I do expect in the later quarters for us to do well in other regions of the world as well. With respect to the SmartCore question, no in fact we do expect every SmartCore win to include at least an entry infotainment capability in addition to the cluster as they are integrated domain controller for the digital cockpit. These two products infotainment and cluster become somewhat essential capabilities. There we see possibilities of extending beyond these two product segment are integrating head-up displays and some ADS functions such driver monitoring and surround view.
Operator: Your next question comes from the line of David Leiker with Baird. Please go ahead.
Joe Vruwink: Hi, good morning. This is Joe Vruwink for David. Just a few quick ones on new business. Is the SmartCore award since you disclosed in April, is that included in the $1.5 billion? And then on the infotainment, the success in infotainment win this quarter, it sounds like there are engagements on Phoenix but is Phoenix reflected in the $1.5 billion at all yet?
Sachin Lawande: So the first question -- so the SmartCore win is included in the $1.5 billion of the new business wins that we reported. And with respect to infotainment, as I've mentioned before the Visteon has a very competitive entry infotainment offering which if you remember last year we acquired AllGo which further strengthened our capabilities in entry infotainment. The AllGo acquisition brought inhouse expertise in media playback and smartphone integration capabilities and the business wins that we discussed or we talked about in this quarter are more entry infotainment business wins. One was an extension of a business that we've had for some time and this is a global infotainment product that we now are adding more market driven and market important features. And other infotainment then came out of China.
Joe Vruwink: Okay. That's great. Thank you. I wanted to dig into SmartCore a little bit because automakers aren't aligned when thinking about two different purchasing things, one does infotainment and one does cluster. There is obviously different requirement from both. Cluster of ASIL certification, so to get automakers to buy in to the concept of both one ECU is in my mind really tough. You are beyond that hump. Now you are winning business and I am just wondering when these programs start to launch so when you add -- this goes from proof of concept to actually being market, does this just drive of flush of interest of more business coming your way because at the end of the day if they performs well and it's a cheaper solution, it should get a bigger industry buying that would seem.
Sachin Lawande: Absolutely. As I've said before Joe, we've starting to see this trend really pickup in the industry. All digital cockpits right, so once you get to that point where your cluster is digital, of course you have your infotainment and other displays that are digital displays including head-up display, the approach of using a cockpit domain controller makes a lot of sense. And so we are now starting to see this trend really cut across almost all of the OEMs. I'd say that we are in discussions with at least half of our customer base with respect to SmartCore. And we, as you know are the only suppliers in the industry with all of the components that are required to build a complete product. We have our own virtualization technology. We have instrument cluster capabilities, now a complete set of infotainment, complete range of infotainment systems, head-up displays and ADS. So we are in a position to offer a complete system. So if a customer wants a supplier that has experience and all of the assets to build a cockpit domain controller, you would be at the top of the list. And that's what we are now starting to see happen in this industry. We have a very strong pipeline with SmartCore and we hope to talk more about SmartCore in the coming quarters.
Operator: Your next question comes from the line of David Lim with Wells Fargo. Please go ahead.
David Lim: Hi. Good morning, everyone. Just wanted to ask about the outlook geographically. I know that you gave some bit of color but can you sort of parse that out I mean I think some suppliers are mentioned that there could be a little bump in the road in Q2 and maybe successive quarters in China but wanted to get your take on China particularly. Then any other color that you could provide in other geography.
Sachin Lawande: Hi, David. We provided some information I think it was slide 10 of the deck. First of all, Q1 was a strong quarter in terms of production in all regions. And as I am sure you are aware, IHS has been forecasting for the full year a growth in production that is more or less in line with their earlier estimates. We tend to agree with those that forecast. However, with one perhaps somewhat minor exception which is that we are more optimistic in our expectations for China than what HIS has been reporting. So that's the visibility that we have today. We are in ongoing constant discussions with our OEM customers and the guidance that we've given that we are essentially reaffirming takes into account all of the plant shutdowns and deductions that might be expected in the later periods of the year. So we are comfortable with our financial guidance. Our first quarter performance also gives us a good starting position in the year to have a pretty good finish for the full year.
David Lim: Is your optimism in China or your outlook in China more from like a ground up analysis? I think you mentioned that you are talking with your OEM customers, is that how you come up with a general industry forecast?
Sachin Lawande: That's correct. We have direct discussions with many of these OEMs, these customers in China and our forecast is directly based on the production releases and the forecast that they provide to us.
David Lim: Okay.
Sachin Lawande: David, if I can just add to that our forecast for China has not changed since Q4 of last year when there were a lot of discussions around what might happen to China because of the incentive program changes. We have thought that we've always projected that China's production volume growth in 2017 would be in the mid single digit. So that's not a change in our view of China.
David Lim: Got you, got you. One follow-up on infotainment. Sachin, I know that it's a little early but can you give us like the progress you are guys making related to Phoenix and the discussions that are going there and maybe if you could quantify like how many OEMs are really -- how many OEMs are interested in this new technology that you guys launch back in CAS? Thank you.
Sachin Lawande: Yes, sure, David. So we had a very good showing of infotainment of our Phoenix Infotainment I should say at CAS in January. We've talked about that before and following up on CAS we had several engagements that OEM customers globally including obviously for Phoenix. At this stage, we are right in the middle of deep technical discussions with several OEMs but I'd say realistically given that infotainment tends to be a long sale cycle product segment that we would not expect to really be discussing any customer award related activity until I'd say in the second half of this year or perhaps even early next year. So I'd want to wait on that specific question for maybe a quarter or two more before I provide you with more quantitative data.
Operator: Your next question comes from the line of Matt Stover with SIG. Please go ahead.
Matt Stover: Thank you very much. Most of my questions have been addressed. I did have one. There is -- I know you guys don't purchase lot of raw materials but there has been some concerned about rising raw material costs and sort of percolating to the chain. You folks had a pretty nice performance there in the first quarter, I am wondering as we look back to the sort of the final three quarters of the year, should we expect for that performance to sustain itself or dribble down as the year goes on.
Sachin Lawande: Yes. So, Hi, Matt. So, first of all as we've been saying we've put a lot of focus on driving operational excellence across all of our operations in the business. And materials are obviously a very big part of that. So we have significantly improved our approach to sourcing and I do not expect to have any negative impact in the materials pricing for the remainder of the year. We have done well in the first quarter and I expect to see the benefits of that continue to flow through for the rest of the year.
Operator: Your next question comes from the line of Steven Fox with Cross Research. Please go ahead.
Steven Fox: Thank you. Good morning. I just had one question. I was wondering given the recent success in China if there is anything that you would highlight that is differentiating yourself specifically in terms of one SmartCore features and functionality to that market. And then two, any progress or any help from the JV relationships because it seems like you have referenced companies not only that you have JVs with but also that you don't. So any help there would be great. Thanks.
Sachin Lawande: Yes, sure. So as we've mentioned before one of the expense that we have in China which is also perhaps a differentiator with many of our competitors is that we have very strong joint ventures in China that give us a tremendous amount of access and reach with some specific OEMs. But beyond that as you've noted we've started to make our inroads into essentially domestic Chinese OEMs where previously we may have not been as focused on. So in terms of the product and technology differentiation the fact that we have a very strong base in China. We have close to about 1,000 engineers in China along with our JV partners, gives us a tremendous ability to bring new technologies quite rapidly into that market. And SmartCore is a great example of that. So within a year we've been able to introduce this technology from here into China and there is a tremendous amount of demand, tremendous amount of interest across the board with almost all of the customers that we have good relationship with over there for these technologies. So we are very optimistic about China in general beyond just production volumes, we are very optimistic about their interest and desire to pickup new technologies and introduce new technologies usually much faster than many other customers around the world. So we hope to continue to focus on China and continue to win more than our share of -- or fair share I should say of the market like we did in the first quarter.
Operator: Your next question comes from the line of Colin Langan with UBS. Please go ahead.
Eddy Shayan: Hi there. This is [Eddy Shayan] on behalf of Colin. I had a couple of questions. So one it look like customer mix worked against you in this quarter with Ford and Mazda down in an up market. How did you manage to offset that? Were you just on the right platforms of those OEM?
Sachin Lawande: I don't think that we had any negative impact of the customer mix but I'd say that the thing that really helped us in this quarter was China and the growth in China. We saw positive improvements with the North American customers as well so I am not quite sure of specifically of what you maybe alluding to their.
Eddy Shayan: Okay. Yes, that mean we are just looking at their production general for the quarter.
Sachin Lawande: I see, I see, okay.
Sachin Lawande: We are positive with our North American customers despite the production data may suggest.
Eddy Shayan: Okay, that's fair. I was also wondering I mean it sounds like software engineers are in short supply across the industry. Do you feel like you have the staff necessary to develop your next generation to SmartCore, Phoenix and your autonomous driving technology? Would you possibly have to make any acquisitions that are require the right personnel there?
Sachin Lawande: Talent especially into the -- in the space of software will always be in short supply and always be a challenge. But we have been doing quite well in terms of being able to recruit the talent that we need for not just SmartCore but also our autonomous driving platform initiative. So far we've been able to get the talent that we need. We probably will not look at an acquisition as a way to get talent. We may look at specific acquisitions to get capabilities and intellectual property in specific areas but with respect to talent, given our fairly diversified footprint, we are I'd say one of the more diversified companies our space with presence in areas of the world where there is a bigger pool of talent that's available to us. So we think we are in a pretty good position with kind of talent that we need given our market leading position, I think we'll be able to attract that talent and so far that has not been a problem but it's always a concern for anybody especially in the tech space as the demands will continue to rise.
Operator: The next question comes from the line of Brian Sponheimer with Gabelli. Please go ahead.
Brian Sponheimer: Hi, Sachin. Hi, Christian. Congratulation on another great quarter. I want to talk about M&A from a couple different angles, you mentioned product platforms et cetera, can you talk maybe about where maybe this SmartCore product allows you essentially a platform to enter new areas where you could potentially be equative.
Sachin Lawande: So in fact let me first address the question about what the SmartCore enable us to do and then talk about the other part of the question. So SmartCore essentially addresses a long-term trend of driving more of the cockpit functions using a single rich SOC, a system on the chip and software and that fundamentally has several benefits. One of the benefits is that it lowers total cost of implementation of the features which today are done through discreet separate products. The second benefit obviously is that it allows you to bring new user experiences which are not possible when you are building discreet separate products. Now when you look at it from where we stand and any M&A that might be a direct consequence of that. First of all, we really like our position as a company that's exclusively focused on corporate electronics. And I think that's essential for us to be able to react to the market demands quickly especially in the areas of technology as we transform ourselves into more of a technology company. We will continue to look for any opportunities where M&A could help us in executing our strategy, but at the same time as we've said before, we'll stay extremely disciplined with how we look at such potential actions. Beyond being a good fit from a strategic viewpoint, we'll also be very focused on ensuring that we agree with the valuation before we think of any M&A. As you can see from what we've been doing here for the last few quarters. We have been exercising that discipline and we do not at this point have anything to suggest that we will change our approach.
Brian Sponheimer: All right, thank you. And I guess my next question is for Christian. Christian, with the ASR being just $125 million and given the optimism for what lies ahead why only that amount relative to the $400 million that's you've authorized. I would presumably getting this done sooner rather than later would be beneficial?
Christian Garcia: Right, right. So clearly Brian we are not going to -- I am not going to telegraph my actions -- our actions on this call. But we are balancing our buy back program with other opportunities, the M&A opportunities being one of them. And as Sachin mentioned we've not found one that would satisfy our strategic and financial hurdles. But what I can tell you is that the remaining buybacks that we are going to do after this ASR will be through a combination of another accelerated ASR program and or open market. But we are still on track to complete the $400 million buyback authorized by the Board by March of 2018.
Operator: Your final question will come from the line of Brian Johnson with Barclays. Please go ahead.
Steven Hempel : Yes, good morning. It's actually Steven Hempel on for Brian. Just want to drill down a little bit on your China business there. It looks like China this week actually announce that it's planning loosen some in JV ownership restrictions. Just wondering if I believe you guys have roughly 35% ownership investing on Electronics and 60% or 65% in Dongfeng, just how do you think about those ownership levels might that change moving forward and then kind of how we should think about those JVs moving forward?
Sachin Lawande: Yes. So we are happy with the JVs that we have and we do not expect to see or need any change in that direction.
Steven Hempel : Okay. And then if you look at the China profitability right now can you just discuss what that is relative to the overall corporate average? Is it higher or lower, similar? Then also equity income looks like we are expecting to be negative here in fiscal year 2017. So just wondering what your thoughts on that business and why it's negative and probably outlook for that performance --
Sachin Lawande: So what I'd like to first say is that in terms of the product pricing and margins, China is on par with what we see in other parts of the world. There is absolutely no difference. And so fundamentally profitability wise we are looking at China again the same way that we look at other regions of the world. We have our own internal hurdles that we screen any new business opportunity before we accept it and so we do not see any for sure no negative impact out of our growth in China. And we in fact are quite optimistic about our potential there. And I'd at this point ask Christian if you would like to add anything to that.
Christian Garcia: I would just reiterate what Sachin said that we like not only the sales profit we are seeing from our China domestic market but also the profitability that we are seeing from that country as well.
Steven Hempel : Okay. And just quick question. Equity income why it is supposed to be negative?
Sachin Lawande: No. We believe it's going to be positive.
Steven Hempel : Got you. Okay and then just lastly SmartCore Gen 2 development initiative that here in this quarter or last quarter I should say. What are the kinds of hurdles that you are looking at with that product, any hurdle or changes and then also the kind of the cost profile of that business relative to Gen 1 and could that potentially be higher margin product?
Sachin Lawande: So the Gen 2 essentially is an evolution of the technology of Gen 1 as you can imagine. When we started Gen 1 that was almost three years ago when we did the market introduction. There is a certain expectation that these capabilities will continue to evolve. As the silicon suppliers have launched products with more codes, it allows us the opportunity to integrate more on domains. So clearly from a total system cost viewpoint, it offers the potential to lower the total cost of ownership for our OEM customers. And so we think that it makes Gen 2 that much more interesting beyond what Gen 1 offered. So we are very optimistic about it. And we think this is what we'll really make the cockpit domain controller as sort of accepted approach to building next generation all digital cockpits. We see more and more trends towards the cockpit themselves going away from analog solutions towards all digital. And this technology coming along really offers them now a solution to build those products out at a very cost competitive levels. We are very upbeat on SmartCore in general.
Bill Robertson: Okay. And with that, thank you Sachin. Thank you, Christian. And thank you to all for participating in today's call. I'll be available later today for any follow up calls. So please feel free to contact me. And at this point, we will end the Visteon call. Thank you.
Operator: Thank you. This concludes the Visteon's first quarter 2017 financial results conference call. You may now disconnect.